Operator: Good morning and thank you for holding. Welcome to the Conns, Incorporated Conference Call to Discuss Earnings for the First Quarter ended April 30, 2014. My name is Karen and I will be your operator today. During the presentation all participants will be in a listen-only mode. After the speakers’ remarks you will be invited to participate in the question-and-answer session. As a reminder this conference call is being recorded. The company's earnings release dated June 2, 2014 distributed before the market opened this morning and slides that will be referenced during today's conference call can be accessed via the company's Investor Relations website at ir.conns.com. Before I turn the call over to Mr. Wright I must remind the audience that some of the statements made on this call maybe forward-looking statements within the meaning of the Securities and Exchange Act of 1934. Any such statements reflect Conns views, expectations or beliefs about future events and their potential impact on performance. These statements are based on certain assumptions and involve risks and uncertainties that could impact operations and financial results and cause our actual results to differ materially from any forward-looking statements made on today’s call. These risks are discussed in Conns’ first quarter fiscal 2015 earnings press release and in Conns’ Form 10-K and other filings with the Securities and Exchange Commission. In addition certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. Reconciliations of any non-GAAP financial measures to comparable GAAP measures can be found on the company’s website. Joining Theo Wright, Conns’ CEO on today’s call are Mike Poppe, the company's COO; Brian Taylor, the company's CFO; David Trahan, the company's President of Retail. I would now like to turn the conference over to Mr. Wright. Please go ahead, sir.
Theodore M. Wright: Good morning and welcome to Conns first quarter of fiscal 2015 earnings conference call. I'll begin the call with an overview of our Retail segment and comments on the Credit segment. Then Mike will discuss our Credit segment further and Brian will finish our prepared comments. We achieved record earnings for any quarter in the first quarter of fiscal 2015 with adjusted earnings increasing 32% from a year ago. Credit segment performance improved as expected and our retail segment delivered another standout performance. Our store model is proving itself yet again in markets to the east of Texas. Same-store sales for the first quarter by category are slide three. Same-store sales for the quarter in total increased by 16% on top of the 17% increase in the prior year and 18% the year before the prior year. On slide four we show product gross margins by product category for the first quarter. Total retail gross margin percentage for the quarter was 41.4%, an increase of 110 basis points over the prior year. Furniture and mattresses represented 42.4% of product gross margins. Shift in sales mix to furniture and mattresses is the cause of the increase in gross margins over the prior year. Future gross margin growth opportunity will likely come from increasing furniture and mattress sales per square foot. Base same store sales were up about 13%. Exiting the lawn and garden category reduced the first quarter same store increase by 3% and the May same store increase by 5%. As discussed on our last conference call modifications to our underwriting standards also reduced first quarter fiscal 2014 and May 2015 same store sales increases by an estimated 5% to 7%. SG&A particularly advertising expenses have increased with the store opening pace, offsetting much of the operating leverage from increasing same stores sales. Opening of two additional warehouses in Q1, 2015 along with the two warehouses opened in fiscal 2013 and ’14 have increased warehousing cost as a percentage of sales. These warehousing cost are included in cost of sales. As these warehouses are better utilized gross margin should benefit. El Paso and Phoenix will benefit from additional store openings this quarter. These facilities should be more efficiently utilized later this year. Denver and Charlotte will gradually benefit from stores openings this year but will likely not be efficient until next year. On slide five you can see a three-year trend in furniture and mattress sales. Same stores sales of furniture and mattress increased 33% in the first quarter on top of the 51% increase a year ago. For the first quarter of fiscal 2015 furniture and mattress sales represented 33% of product sales and 42% of product gross margin. Overall sales of furniture and mattresses were about 32% compared to 41% of sales in our new stores. On slide six is our four-year trend in furniture and mattress gross profit. We are growing both sales and gross margin percentages. The company previously set a longer term goal of 35% of sales from furniture and mattresses. We are getting close to this goal. The Tempur-Pedic brand is off to a solid start in our stores with sales of their products representing 12% of our mattress sales in May. Turning to appliances, Conn’s has not articulated the strategy and goal to investors for appliance category in the same way as we have for furniture and mattresses. But appliances are a core part of our offering and the growth opportunity. On slide seven is the three year history of same store sales trends in appliances. We are consistently taking share in this category. Base same stores sales in appliances were up 18%. On slide eight is our four-year trend in appliance gross profit growth. Slide nine shows the mix of payment sources for appliance purchases. In our legacy markets consumers are more aware of our appliance offering than our other categories. We are more competitive in this category for customers who don’t need our financing. The appliance sales per square foot are about a $1,000. Conn’s has a number of potential competitive advantages in major appliances; a commission paid consult with their sales force, a first class retail presentation in our Conn's HomePlus format stores; next day delivery every day in all of our markets same day delivery availability most days in our major markets; competitive pricing and assortment particularly at higher price points We strengthened our competitive offering further by adding a 100% free delivery every day starting in May. Prior to May free delivery was by rebate. Switching to a 100% free delivery will make us more competitive with some others in the industry and will improve the customer experience. Our store selection is improving as well. Many of the color alternatives we stock are now displayed in most stores increasing the alternatives available for consumers. Our advertising exposure for the category has increased and most of our price and products advertising messages feature appliances. Our three-year goal is to double our appliance sales. Electronics; electronics delivered a same store sales increase of 3% in the quarter. Television sales were down 2%. Accessories, gaming and other electronics are responsible for the electronic same store increase. In May as well we have a positive same store performance with television sales up only 2%. Gaming, in particular is making a contribution with availability of desirable products. Ultra HD or 4K represented 4% of LED television sales in Q1 and 10% in May. Pricing is becoming much more attractive and we now have 4K on the floor at prices below $2,500. We think 4K will help us maintain television sales and ASP over the remainder of the year.  In May we opened two stores in Tennessee and plan to open additional seven stores by the end of July. Slide ten shows the performance of our new store model. This slide shows results from the new stores that are now included in our same store sales list. These stores delivered a decline in same store sales of 4% in Q1. Our new stores delivered a same-store sales increase of 2% in May. As we move away from the grand opening period the new stores are contributing strongly to same-store sales growth. The stores we opened in fiscal 2013 improved their same-store performance steadily through Q1and produced an increase of 15% in May. Our new stores in Arizona and New Mexico have been impacted more than our other stores by changes to underwriting. Despite the ability to charge higher rates in these markets than in Texas we now have identical underwriting standards in all markets. This was not true a year ago and Arizona and New Mexico stores benefited from more generous underwriting standards. The performance of the stores opened in fiscal 2013 is consistent with our expectations that store maturity will take three years. Our plan is to open a total from 17 to 20 stores in fiscal 2015. We have either opened already or have signed leases or purchase agreements for these sites. Three stores have closed this fiscal year. Our plan is to close an additional seven stores over the course of the fiscal year as we discussed on our last conference call. Turning to the credit segment, the company’s credit segment improved as expected in the quarter. Delinquency over 60 days declined 80 basis points from January to April and was down another 20 basis points in May. At January 31, 60 plus delinquency was a 170 basis points higher than a year ago. At May 31 this difference was 80 basis points. At May 31 a year ago our credit performance was solid and our collections issue during fiscal year 2014 hadn't yet occurred. Portfolio growth and growth rates for the first quarter were much lower than in Q4. Our hiring faced a decrease. With delinquent balances declining we were able to give our agents time to gain the experience to be more effective. Portfolio growth should be slower in fiscal 2015 than in fiscal 2014 due to slower same-store sales growth, store closings, elimination of the lawn and garden category and more restricted underwriting. The slower portfolio growth has given our staff needed development time. We have better visibility in expected portfolio growth and our hiring is taking place in advance of the expected need. Turning to underwriting, on slide 11 is our average FICO score in the portfolio for the last five years. The portfolio has been in a narrow range of credit quality and remained there in the last quarter, reiterating a few supporting data points from our last conference call. On slide 12, cash options of zero financing accounts had lower delinquency and loss rates than interest earning accounts. Static losses are lower on these originations compared to other accounts. These originations are promotional only in the sense of being advertised. Delinquency rates by product category are on slide 13. Normalized for credit quality there is no material difference in delinquency. The shift to higher sales in furniture and mattress categories is not putting pressure on delinquency. In Q3 and Q4 of fiscal 2014 and in Q1 of fiscal 2015 we made changes to our underwriting to reduce risk. We are declining some accounts we would have previously approved, reducing credit limits for some accounts and demanding more and larger down payments for some accounts. These changes were reflected in the FICO score underwritten in Q1 of fiscal 2015 of 605 compared to 599 in Q3 of fiscal 2014. The aggregate impact of these changes is estimated to be a reduction in sales rate of 5% to 7% compared to the same period a year ago. First payment default rates have declined and the entry rate into delinquency is low by our historical standards. Delinquency is 20 basis points better than the same time a year ago and 30 to 120 days past due in part because of the changes in underwriting. By the end of August the benefit of lower first payment default rates will impact all of our delinquencies. No additional changes to underwriting are planned at this time although we're consistently evaluating our standards. Volatility and reported provisions for bad debt and charge-off of bad debt can create impressions about our underwritings that are inconsistent with the underlying economics of our credit offering and how we're managing the business. Static losses are much more stable and more representative of the underlying economics of our credit segment. We're establishing a goal of maintaining static losses at or below 7% to assist investors in understanding how the company is underwriting accounts. If our approach for underwriting changes we intend to communicate this by revising our goal. In the fourth quarter of fiscal 2014 we demonstrated the resiliency of our business model. In spite of poor performance of our collections operations due mostly to planning errors we delivered solid profitability and earnings growth. In the first quarter of fiscal 2015 we returned to form with improving credit performance and overall performance exceeding expectations for the quarter. We've added more human capacity as well as physical capacity in both our retail and credit segments. In the last two quarters we added seven individuals in senior leadership roles. Our team is better equipped to manage the growth than it was six months ago. Conn's offers a unique value to an underserved lower income customer. This value is best demonstrated by the high rate of repeat purchases and customer loyalty. We intend to continue to execute our growth strategy by opening stores and same-store sales growth. Now I'll turn the call over to Mike. Mike? 
Michael J. Poppe: Thank you, Theo. As Theo commented credit segment performance improved since the fourth quarter as execution improved and portfolio growth slowed. The recent delinquencies charge-offs and re-aging trends are shown on slide 14. 60 plus days delinquency was reduced 80 basis points during the first quarter to 8%. This compares to a 40 basis point reduction for the same period in the prior year. As seen on slide 15 in May 60 plus day delinquency improved by 20 basis points compared to an increase of 30 basis points in the prior year. At January 31st 60 plus day delinquency was 170 basis points higher than the prior year reflecting recent improvements as of May 31st it is now only 80 basis points higher than the prior year. As we look at portfolio performance through the end of May one to 60 day delinquency declined seasonally during the first quarter and in May. 60 plus day delinquency as a percent in the absolute balance trended down seasonally during the first quarter and declined further during May. The delinquency rates for accounts one to 120 days past due is now lower than it was at the same time last year and we would anticipate these trends continuing over the next several months. Turning to the payment rate as the average rate of the receivables in the portfolio declines the payment rate will also decline. At April 30th the average age of an account was 8.3 months compared to nine months in the prior year due largely to 43% growth in the portfolio balance. Since the finance contracts have a fixed monthly payment the payment rate is at its lowest right after a sale is completed. As a result the payment rate declined 40 basis points in the first quarter to 5.8% this year as anticipated. In May the payment rate was 5.25% down only 17 basis points from the prior year. The net charge-off rate decreased 280 basis points sequentially to 7.8%. We expect the charge-off rate to be higher in the second quarter and then decline over the last half of the year. Slide 16 shows static pool loss information for the portfolio over the past nine fiscal years. The static pool loss rate is a cumulative charge-off rate based on the fiscal year of origination. Other than fiscal 2009 which was significantly impacted by the recession static pool loss rates have been fairly stable over time while charge-off and provision for bad debt rates are more volatile. During fiscal 2012 changes were made that shortened contract terms and the time period before charge-off including limiting re-aging. Credit accounts are now paying down more quickly and charge-offs are occurring sooner in the contract life. Since the receivables pay off quickly only small balances remain from recent fiscal year originations; less than 1% of fiscal 2011, 4% of fiscal 2012 and only 19% of the balances originated in fiscal 2013. The more conservative re-aging and charge-off practices result in the balances remaining in the portfolio being of higher quality than in the past. We expect the final static pool loss rates for the recent fiscal years to be in line with historical experience though there may be modest upward pressure to around 7% as a result of the execution issues experienced in fiscal 2014 and due to the increased volume of new credit customers originated during those periods. Turning to underwriting trends for the first quarter, as shown on slide 17, 93% of our sales in the quarter were paid for using one of the three monthly payment options offered. The 350 basis points increase in the percent of sales under our in-house finance program is driven largely by changes in our advertising program as well as merchandise mix changes which drove higher ASPs and reduced the volume of cash tickets. The approval rate under our in-house credit program decreased 220 basis points year-over-year. The average credit score underwritten remained flat sequentially at 605 and was up slightly year-over-year while down payments rose 30 basis points to 4.2%. We have remained focused on achieving and maintaining appropriate collector staffing levels and improving training. Additionally we brought in additional management talent to continue to develop the collection organization and prepare for the coming growth. We expect the delinquency trends to continue to improve over coming quarters benefiting from recent underwriting changes, improved staffing levels with improved visibility to expected portfolio growth and increased focused on training and monitoring of daily execution. Now I turn the call over to Brian Taylor. Brian?
Brian E. Taylor: Thank you, Mike and good morning. First quarter retail segment sales were $278 million, an increase of 33% over the prior year period. This growth reflects the impact of the net addition of nine stores over the past months and higher customer traffic in existing stores. We opened two Conn’s HomePlus stores in late April in the Denver market and closed two less productive locations during the quarter. We will see the full benefit of these new stores in the second quarter. On a same store basis sales rose 16% over the prior year quarter. On a full year basis we expect same store sales growth of 5% to 10% driven by higher sales of furniture, mattress and appliances. Retail gross margin was 41.4% this quarter. In the first quarter of each fiscal year certain of our vendors provide us with additional promotional assistance. Excluding such assistance retail margins approximated 40.1% in the current period. Retail gross margin was also influenced by approximately $1.8 million in expenses which are included in cost of goods sold associated with two new distribution centers to support future growth. As we continue to extend our store base over the next year leverage of these costs will improve. As shown on slide 18 retail SG&A expense this quarter was 27.4% of sales consistent with the level reported last year. Our investment in future store openings, personnel, pre-opening advertising in new markets and higher advertising cost in markets we entered over the past year offset the leverage impact of the revenue expansion within our existing store base. Pre-opening expenses totaled approximately $2 million this quarter which compares to $600,000 in the prior year period. Advertising as a percentage of retail sales increased to 6.1%, an increase of 140 basis points from last year. In our new markets we have invested more for advertising then in existing markets. This quarter advertising expensed as a percent of revenue for new markets was 9% and was 5% in mature markets. With the accelerated cadence of planned new store openings we expect advertising expense as a percentage of sales to remain elevated through the third quarter, continuing to offset some of the opening leverage of our mature markets. In total unlevered operating costs related to pending new store openings totaled approximately $3.8 million this quarter or $0.07 per diluted share. We expect margins and SG&A expense leverage to continue to be influenced by pre-opening costs as we open additional new stores in fiscal 2015. Adjusted operating income for the retail segment increased 45% to $40 million this quarter driven by same store growth and gross margin expansion. On an adjusted basis retail margin rose a 120 basis points year-over-year to 14.2% of revenues. Credit segment revenues were $57 million this quarter, an increase of 39% over last year. Annualized interest and fee yield was 17.6% down 40 basis points from a year ago due to higher estimated future interest charge-offs and reduction in fee income. The overall yield continuous to be influenced by our use of short term no-interest financing to accelerate portfolio velocity. At April 30th short term no-interest receivables represented 37% of the total portfolio balance compared to 31% a year ago. General and administrative expenses for the credit segment were 52% above the prior year period due to increased staffing levels. We continued to invest in additional staff this quarter to address expected portfolio growth in the second quarter. When compared to the average portfolio balance, credit SG&A expense was 8.8% this year, down 20 basis points sequentially and up 40 basis points year-over-year due to higher staffing levels. Provision for bad debt equaled $22 million, reflecting the impact of a 33% increase in loan origination and higher delinquency rates year-over-year. Annualized provision for bad debt was 8% of the average portfolio balance during the first quarter which compares to our full year guidance of 8% to 10%. As I stated in our last call we expect the quarterly provision rate to vary over the year driven by the pace of originations and seasonal delinquency trends. Credit segment operating income was $11 million this quarter. Interest expense rose $900,000 year-over-year with the impact of higher borrowings substantially offset by a reduction in our overall effective interest rate. The lower rate reflects the repayment of our asset-backed notes in April 2013 well as a reduction in the rate under our revolving credit facility. Moving now to our balance sheet and liquidity 86% of our $137 million in inventory was financed without any accounts payable as of April 30th. Our inventory turn rate was five for the quarter. Inventory levels and turn rates this quarter were impacted by the stocking of our two distribution centers to support future sales and an impending increase in the assortment of hard good furniture merchandize and the introduction of the Tempur-Pedic mattress launch. The inventory turn rate was 5.4 this period after excluding $10 million of inventory held at the Denver and Charlotte distribution centers. As presented on slide 19 our customer receivable portfolio balance was $1.1 million at April 30th, up $36 million from January and $330 million from the same period last year. Our allowance for bad debt was 6.6% of the total portfolio balance at April 30th. Moving now to slide 20 we paid down $20 million in debt during the quarter and increased capacity under our revolving facility to $880 million. Outstanding debt was $517 at April 30th, or 47% of the outstanding customer receivable portfolio. As of April 30th we were well within compliance of our debt convents and expect based on current facts and circumstances to remain in compliance. At quarter-end we had $362 million of total borrowing capacity under our revolving credit facility. We continue to evaluate other debt capital alternatives to support our longer term liquidity requirements. As covered on our fourth quarter call we agreed to terms on the sale and lease back of three properties. Together with the pending sale of purchased property we expect to receive cash proceeds of $25 million in the second quarter of fiscal 2015. Turning now to slide 21 our earnings guidance of $3.40 to $3.70 per diluted share on an adjusted basis for our fiscal year ending January 31, 2015 remains unchanged. Full year expectations considered in developing the guidance are highlighted on slide 21 and in our earnings release. A more detailed presentation of our fiscal 2015 first quarter results will be included in our current Form 10-Q we will file with the SEC. In closing I want to highlight that members of management will participate in the Stifel, Stephens, Piper Jaffray and Oppenheimer investor conferences in New York City and in Boston during the first, second and fourth weeks of June. This concludes our prepared remarks. Karen will you please begin the question-and-answer portion of our call. 
Operator: (Operator Instructions). Our first question comes from the line of Peter Keith from Piper Jaffray. 
Peter J. Keith - Piper Jaffray & Company: Hi, thanks. Good morning everyone and nice quarter. When looking at the delinquency trend I don't want to read too much into May but every month of detail that we get is helpful. So interesting that May was down 20 basis points from April, versus last year we were up 30. I guess historically is April usually the low point for the year and then May is naturally to run higher or how does that negative 20 fit in with historical context? 
Michael J. Poppe: Hey, Peter this is Mike. Yes, you are right. April is typically the low point and then as you get into May and June you start to see seasonal uptick in delinquency. 
Peter J. Keith - Piper Jaffray & Company: Okay, and then I know you guys have been hesitant on forecasting delinquencies but even if we look at that loan loss provision here 8% to 10% is pretty wide. Now that you are one quarter of the year you have gotten couple of more months of the credit performance how do you feel about that guidance range? Do you see may be more opportunity to be more sort of 8% to 9% overall or is the back half a little bit lower than you originally thought? 
Theodore M. Wright: The provision rate is affected by portfolio growth as well as delinquency and when you add in volatility of our sales growth and seasonality of sales growth with the volatility in collection performance we think it makes sense to have a wide range of potential outcomes then the provision rate. So that's really how we're thinking about it, Peter is that if growth rates accelerate as we open these new stores that going to put upward pressure on the provision rate even with the same delinquency performance we're achieving today. So the possible outcomes are in a relatively wide range and that's what our forecast reflects. 
Peter J. Keith - Piper Jaffray & Company: Okay, that's fair enough. The last question I had for you was on the first payment default decline. It's kind of a two part question, would you be able to provide some quantification of may be what that looked like at its worst point last year and where first payment default is right now as a percentage and then I think you had commented that you thought those issued would be done by the end of August, can you explain that particular timing? 
Theodore M. Wright: Yeah we haven't historically provided detail on first payment default rate as a percentage and I don't think we'll start doing that because again it's heavily affected by seasonality and other factors. But if you are thinking in terms of timing August really reflect the seasoning of our changes to underwriting through all stages of delinquency. So that account that was underwritten in November of last year that was first payment default will be out of the portfolio by August. 
Peter J. Keith - Piper Jaffray & Company: Okay, again just when sort of tightened down some of the underwriting metrics last year it's just basically seven to eight months after that point. 
Theodore M. Wright: That's right. 
Peter J. Keith - Piper Jaffray & Company: Okay, thanks a lot for all the feedback guys. Good luck for these coming quarters. 
Theodore M. Wright: Thank you. 
Operator: Thank you. Our next question comes from the line of John Baugh from Stifel.
John A. Baugh - Stifel Nicolas & Company: Thank you and good morning. Thank you for giving us the 7% target of terminal charge-off. I think that's great news. I wondered if we could focus on the static loss by quarter table where I think it was 1.9% in the first quarter post your origination. Could you give us a little detail, I assume that has the first payment default issues and other things and the fact you haven't really changed your provision would imply that these are just some bad apples that you've written off but the rest of the portfolio is performing within range, is that right, any color there would be helpful. 
Michael J. Poppe: Hey, John it's Mike. I think there are two points to be made there; one is it's the impact of the execution issues that occurred in the back half of the year. So really that resulted in just accelerating accounts that were likely to charge off over the coming quarters anyways and similar to what you see in the prior couple of years as we changed our charge-off and re-aging policy and then the execution issues are just accelerating expected charge-offs. 
John A. Baugh - Stifel Nicolas & Company: So the change in under -- can you go back and tell us precisely when the changes in underwriting standards occurred? Or were there different changes at different times?
Theodore M. Wright: There were different changes at different times but most impactful change to our underwriting were made right at the beginning of the fourth quarter of fiscal 2014. 
John A. Baugh - Stifel Nicolas & Company: Good and there has been a lot of conjecture around the impact of the marketing program on the quality of the credit. Are you seeing anything changing or good or bad in terms of the leads you are getting on the Internet versus the people came in the store? I notice the approval rate is lower, just any color on that will be great.
Theodore M. Wright: Yeah. The marketing program is having an impact on loss rates because we are attracting more customers that are new to Conn’s and so our delinquency and loss experience is going to be higher around those new customers. We’ve been talking about that now for several quarters. But that’s reflected in both our expected static loss rate and our static loss goal. If we were underwriting to our current standards with a slower growth rate and fewer new customers we would actually expect the static loss rates to finalize at or below 6% rather than 7%. And so there is an impact, it's not insignificant but we don’t see anything beyond what we are seeing today and have seen now for over a year from this approach to marketing. 
John A. Baugh - Stifel Nicolas & Company: Thank you. And my final question is on that theme of so many customers being new. You have slowed the growth rate Theo, on comp at least or others a lot of new store growth. Is there some inflection point or point when we can look forward to that mix of the receivables being a higher percentage of existing customers? And if so when might that be? Theo, thank you.
Theodore M. Wright: At some point if growth flows yes the portfolio would benefit from a lower percentage of new customers. Having said that even though our same store, expected same store pace is going through a decline we are opening more stores. So we don’t see that inflection point and assuming that we are generating the returns on capital that we are today and we are able to execute effectively we don’t see a point in the foreseeable future where we would slow that growth rate materially. So we as I said factored that into our expectations for static loss. 
John A. Baugh - Stifel Nicolas & Company: Thank you. Good luck.
Theodore M. Wright: Thank you.
Operator: Thank you. Our next question comes from the line of Brian Nagel from Oppenheimer.
Brian Nagel – Oppenheimer & Co.: Hi, good morning. 
Theodore M. Wright: Good morning.
Brian Nagel – Oppenheimer & Co.: I got a few questions here. First on the credit side; as we look at that 8% delinquency rate in Q1 and the 7.8% you telegraphed for May, to what extent is that still artificially high given some of the maybe transitory disruptions we saw in Q4?
Theodore M. Wright: It is -- given that it's still 80 basis points above where we were last year, there is still a meaningful -- that’s probably a good estimate of the impact of where we are relative to what’s left from the execution issues.
Brian Nagel – Oppenheimer & Co.: Yes, so I guess let me say it a different way. So if we look at the -- as you said -- what the increase year-over-year, is that spread then sort of say all reflective of what happened in the fourth quarter or is the portfolio itself actually different so to say this year versus last year?
Theodore M. Wright: It’s reflective of the performance in the fourth quarter but there are differences as we've talked about many times. We think that the increase proportion of originations to new customers for Conn's is expected to increase 60 plus delinquency by about 30 basis points. So there is about 30 basis points that we would anticipate just based on the mix of customers in the portfolio and then the remainder would really be reflective of execution issues.
Brian Nagel – Oppenheimer & Co.: Then second question also on credit, as I think about the numbers you just posted here for Q1 and performance through, last year, 2014, you have given a lot of -- in last two conference calls you have given a lot of detail about the improving performance or some of the measures you are talking to improve your collections business, but is there something you can elaborate more on that, if I am looking at the business here through the first several months of 2015 and how anything that would give us more comfort that the collection business is going to perform better as we head towards the seasonally higher volume sales period such as the holiday season?
Theodore M. Wright: I think that the best way I can, in a concrete way give you more comfort is to talk about the impact of the first payment default rate. So as we look at delinquency through 120 days we are actually below a year ago even with the higher mix of new customers then we had in the portfolio a year ago and that everything to 120 days reflects the impact of our changes to underwriting on first payment default. And those first payments default accounts once they get to later stage delinquency are not incurable but they are very difficult to cure and remove from delinquency. So that is the one concrete data point that I think gives us comfort that the trends are much better that the through 120 days delinquency reflecting our changes to underwriting, our performance is actually better than a year ago.
Brian Nagel – Oppenheimer & Co.: Okay, okay. And I have one point on the retail side of business. You called out again if we look at the gross margin the vendor support being the actions that boosted gross margin here in Q1 the question, maybe a little more color on what that actually is and how sustainable do you view that trend?
Theodore M. Wright: That trend is sustainable, it's been in place for a decade and more, we have executed on those programs, as really a form of volume rebate program from the vendors and as I said we've been doing it for at least a decade. So it is sustainable. Over time we are looking to move away from concentrating so much to that vendor support in the first quarter of the year but it will continue to be part of our volume rebate programs for our vendors.
Brian Nagel – Oppenheimer & Co.: Thank you.
Theodore M. Wright: Thank you.
Operator: Thank you. Our next question comes from the line of the Laura Champine from Canaccord.
Laura Champine - Canaccord Genuity, Inc.: Good morning. So Theo, I think you mentioned seven new hires in senior management. Can you comment on what their role is and whether they are on the retail or credit side?
Theodore M. Wright: Both retail and credit; four of those hires are in the credit organization, the rest in retail. So it isn’t just credit that is a sizable percentage of those new hires are in credit organization.
Laura Champine - Canaccord Genuity, Inc.: And then another thing in your prepared comments, I think you mentioned that on the appliances you might have more competitive pricing relative to your competition on cash and carry. Why is that the case, why has Conn's made a decision to price more competitively in that category?
Theodore M. Wright: We have always priced competitively in that category. That’s not a change for us. I think what we are really trying to highlight is in that category in part because of competitive pricing a little more likely to appeal to a customer that doesn’t need Conn's credit and you see that in the information that we provided about the payment source. So 30% of our appliance sales right now are to customers who don’t need our credit offering and we think we have competitive advantages in that category. So we're going to be as we have been priced competitive and we also have an offering and delivery that really no one can compete with and a retail experience that many of our key competitors can't compete with. So we see appliances as an opportunity to do more business with customers who don’t necessarily need our credit offering. 
Laura Champine - Canaccord Genuity, Inc.: Got it. Thanks. Just lastly I understand that inventories are up a lot and a lot of that has to do with your expansion. When should we see inventories kind of normalize more towards sales growth rates? 
Theodore M. Wright: I think there is going to be some volatility there because in addition to the additional warehouses we also are expanding our product offering continuing to expand our product offering in furniture and as that product flows into the warehouses and gets to the floor and takes time to develop a sales rate that will also slow turn rates. So I don't know that we're going to see a short-term change there but if you look a layer deeper and you look at the turn rates other than furniture in our legacy markets the turn rates there haven't deteriorated at all and we've seen no deterioration and inventory aging or issues around inventory generally really just reflects the expansion of the business.
Laura Champine - Canaccord Genuity, Inc.: Got it, thank you. 
Theodore M. Wright: Thank you. 
Operator: Thank you. And our next question comes from the line of David Magee from SunTrust. Your line is open. 
David Magee - SunTrust Robinson Humphrey: Thank you. Good morning and good quarter guys. 
Theodore M. Wright: Good morning.
David Magee - SunTrust Robinson Humphrey: Couple of questions on the expansion. As you move into brand new states, Colorado, Tennessee and as you sort of look at the Carolinas do you sense any difference in terms of your talks with customer and their ability to buy home goods. 
Theodore M. Wright: No, we don't is the simple answer. If you look at the strength of our opening in Colorado and in Tennessee it doesn't indicate any real difference in the customer's ability to buy or willingness to buy. I would also say, Shreveport, Louisiana in that category as well with the different demographic mix than we see in Texas and Arizona. So as of now I would say we don't see a significant difference. I think as we move east what's interesting and is reflected in our thinking about the number of stores that we can potentially open over time is most of those states, really all of them have the ability to allow us to charge an interest rate that we can operate profitably using, especially when you look at the rate that we're actually charging our customers today, around 18%, a lot of those states we think, virtually all of them will be open to us to do business. And we see the opportunity to have somewhat higher store density just because of the way the population is distributed in East, unlike in Texas where you tend to have these dense urban areas surrounded by not a whole lot. The East has a different pattern of population distribution and we think we may ultimately be able to have even more store density as we move east.
David Magee - SunTrust Robinson Humphrey: As you look at these new markets do you see any different profile of competition or do you see so far the competition do anything different as you move into Colorado and Tennessee, any different responses? 
Theodore M. Wright: Electronics and appliance are dominated by a small number of national players. So in those categories there is really no difference market-to-market. We're competing in appliances with Lowe's, Home Depot, Sears; the lion's share of the market is controlled by those three. And then in electronics Best Buy is a dominant player combined with a number of Lowe's. But really those are all national competitors. Furniture is the one area where we do see differences by market. But I would say we haven't seen anything that would prevent us from being competitive in the furniture and mattress categories. 
David Magee - SunTrust Robinson Humphrey: Thank you. And last question, in the first quarter you mentioned that TVs were down slightly and sounds like in May they are up slightly. But at the same time 4K TVs have really made an impact on what you are selling. Is that the case there or this just sort of cannibalizing TVs that have been sold already so the benefit really is on the ASP side? Or do you see the potential as the price points come down for there to be some accretion to take place as far as unit sales?
Theodore M. Wright: Right now I would say it's cannibalization and we are holding ASP because of 4K. But having said that the 4K product is very compelling when you are in a store and you are looking at it compared to the other products. And there will be a point I just am reluctant to predict when that will be but I think sometime in the next year or two there will be a point where the value of the technology is widely enough perceived that it encourages replacement. That hasn’t happened yet but I think it will happen just because the product is compelling. 
David Magee - SunTrust Robinson Humphrey: Great, thanks Theo. Good luck.
Theodore M. Wright: Thank you.
Operator: Thank you. Our next question comes from the line of Brad Thomas from KeyBanc.
Bradley B. Thomas - KeyBanc Capital Markets: Thanks, good morning and let me add my congratulations on a good quarter as well. 
Theodore M. Wright: Thank you.
Bradley B. Thomas - KeyBanc Capital Markets: Wanted to just follow up on your comments Theo about the drag on comps from the change in underwriting, I believe you quantified that as about a 5% to 7% drag in the quarter. I was just hoping you could just talk a little bit more about what your expectations are going forward if we should expect a similar level?
Theodore M. Wright: You should expect a similar level until Q4 this year and at that point there should be minimal impact. 
Bradley B. Thomas - KeyBanc Capital Markets: Great and then just a follow-up on the gross margin… 
Theodore M. Wright: And Brad if I can interrupt I think also lawn and garden has negligible impact after the end of the second quarter. And so lawn and garden will be a significant drag on our second quarter which we called out with a 5% impact in May. But we’ll have no impact, virtually no impact from lawn and garden in the third and fourth quarter of this year. 
Bradley B. Thomas - KeyBanc Capital Markets: That's very helpful, thank you, Theo. And then a follow-up on the gross margin outlook, the retail gross margin outlook, it clear that company still has a great opportunity from a mix standpoint ahead? As you look intra category what are your expectations for the segment level gross margins. You are obviously coming off of I think seven quarters where they were up very, very impressively but seems to be flattening out a little bit. I mean it does sound that you are making some target investments like in the free delivery.
Theodore M. Wright: You have that exactly right. We are making some targeted investments, we continue to be price competitive and advertise competitive pricing in the appliance category. So I don’t believe there will be significant improvement in gross margins by category. We see the opportunity to grow our gross margin by increasing the mix of furniture and mattresses. And where we see opportunities to grow the business overall by improving the customer experience and accepting similar margins to what we have today than we are going to take advantage of those opportunities. 
Bradley B. Thomas - KeyBanc Capital Markets: Great, and then just lastly on the marketing front I believe your investor deck on the website indicated that the first quarter number of applications is up 47, was up 47% continuing the strong trend you’ve seen in applications. What’s the outlook for the balance of the year especially as you start to anniversary some of the big investments in marketing that you did in middle of last year?
Theodore M. Wright: I think the outlook as reflected in our same store guidance is that as we anniversary those stronger comparisons then the increased price will decelerate and that occurs over the course of a year. So virtually every month starting in May actually the same store sales price increases through the end of the year. So we expect the rate of increase to decelerate. 
Bradley B. Thomas - KeyBanc Capital Markets: Okay. Thank you and good luck. 
Theodore M. Wright: Thank you. 
Operator: Thank you. Our next question comes from the line of Rick Nelson from Stephens Inc. 
Rick Nelson - Stephens Inc.: Thanks, good morning. 
Theodore M. Wright: Good morning. 
Rick Nelson - Stephens Inc.: The re-aging account ticked up sequentially and year-over-year if you could talk about that [trends] and your expectations for that as we look forward? 
Theodore M. Wright: The increase in the re-aging of accounts unfortunately is a reflection of the increasing delinquency. And so the potential population of accounts that are eligible for re-aging increased and there were no significant changes in our approach to re-aging and so it really just reflects the larger potential that resulted from the execution issues we experienced in fiscal 2014. 
Rick Nelson - Stephens Inc.: Thank you. And on the retail side your margin assumptions are even higher to 40%, your margins were higher than that in the first quarter, 41.4%. I am curious about that guidance and what it assumes about furniture and mattress proportion of sales? 
Theodore M. Wright: As we've talked about we expect continue to grow furniture and mattress sales as a percentage of the total sales but we do have some vendor support in the first quarter that we don't have in the second quarter. And as I mentioned in the response to Brad's question earlier we are making some targeted investments in customer experience. But overall we anticipate that we're going to continue to deliver strong gross margins. 
Rick Nelson - Stephens Inc.: Okay, and the opportunity in terms of sales per square foot in furniture and mattresses wondering where you are now and what your longer term targets might be? 
Theodore M. Wright: We don't believe that sales of furniture and mattresses -- I am sorry furniture per square foot will achieve the levels we do in our other categories. Actually in mattresses our sales per square foot are right in line with our other categories but furniture it takes some more space and is less productive. But we do think we can significantly increase our sales per square partly by displaying more products. We're taking better advantage of the available square footage, increasing our assortment within the same square footage and giving customers additional alternatives that meet their needs and their style and the preferences. So will we ever see a $1,000 of square feet of furniture I'll be surprised. But we certainly think we have an opportunity to improve from the level that we see today. 
Rick Nelson - Stephens Inc.: Great, thanks and good luck. 
Theodore M. Wright: Thank you.
Operator: Thank you. Our next question is a follow up from the line of John Baugh from Stifel.
John A. Baugh - Stifel Nicolas & Company: Yes, I was wondering on bedding, quickly could you update us on roughly the annual run rate that bedding is as a percentage of your revenues. I was curious on Tempur-Pedic, how many SKUs did you bring on, what did you replace, what sort of the ASP impact betting overall? Thank you. 
Theodore M. Wright: Yeah as far as the SKUs that we brought on and what kind of price points I direct you to our press release on that topic that gives you some good detail, that's available on the Internet. And as far as what we replaced it was part of an overall effort to reset the line and so they are actually a large number of replacements. It would be hard to characterize those as any one thing. The only thing I would say in a broad way is we no longer have that fairly optimal line on our floor and really replace that on our floor with the Tempur offering. 
John A. Baugh - Stifel Nicolas & Company: And your annual run rate of sales for [deal]? 
Brian E. Taylor: John, this is Brian mattresses make up about 25% of the furniture mattress category. 
John A. Baugh - Stifel Nicolas & Company: Thank you very much. 
Operator: Thank you. And that concludes our question-and-answer session. I would like to turn the conference back for any concluding comments. 
Theodore M. Wright: Thank you for joining us on our call today. 